Matthias Zachert: I would like to welcome all of you heartfully warmly reference made to our safe harbor statements, and Michael and myself will lead you through the conference call. I start with the presentation on Page 4. And of course, key highlights strategically, financially are addressed on this page. First of all, transaction on EnvinEurop closed. So the joint venture had a strong starts emotionally, bringing 2 leaders together, and we alluded for the last 6 to 12 months that this will be happening and its at. Now to the business. Q2 was a very tough quarter. We saw that the business declined further compared to Q1. And we saw that some industries really were heart hit, especially construction. So we are significantly below prior year, but also driven through the fact that we follow your requests and heard you loud and clearly to focus on cash, and we treated our working capital, especially on the inventory side, as you could see. Earnings margins were burdened by weak demand and lower utilization. And we operated, as a matter of fact, slightly 60% utilization. This is definitely something that is extremely painful. A few years ago, when we were still in the polymers or breakeven was at 75%. I'm happy now to say that with 60 or even 58% utilization, we are still reporting EBITDA, but of course, this is something which is extraordinarily low requests and heard you loud and clearly to focus on cash, and we [indiscernible] our working capital, especially on the inventory side, as you could see. Earnings margins were burdened by weak demand and lower utilization, and we -- it's not our normalized levels because last year, we were still operating at utilization between 75 close to 80. Cash control is clearly on the radar. Net working capital further improved. We are now down to 23.8%. But of course, this hurts as far as the P&L is concerned. Net debt as promised, significantly reduced to €2.8 billion, thanks to the transfers of proceeds from the [indiscernible] transaction. And despite really bad operational performance, despite paying [indiscernible] the bonus, despite paying the dividends, we basically kept at stable versus Q1 on a pro forma basis. We started the program forward in order to mitigate the current horrible demand situation that everybody in the industry is confronted with we see industries that used to be stable over the last decades that face volume declines even in the consumer end area, we see contractions because people are cautious on spending due to the inflationary environment. So we started forward. And here, basically, we explained it on Page 5. There were short-term measures. And there is, first of all, the category which are measures taken without OTC. These are ad hoc measures, reducing costs wherever they are variable. Of course, clearly, addressing projects which are measures taken without OTC. These are ad hoc measures, reducing costs wherever they are variable. Of course, clearly addressing projects and nice to have that will be cut. And of course, on CapEx, we look at all CapEx that we are having and projects being plants, being delayed or being cut. These measures are short term. They help 23 on costs and on cash. But of course, they are only focusing and they are ending at 23 million Until the end of '23, we want to finish our structural measures. Structural measures mean we look at our sites worldwide. We look at our SG&A structure. After 10 years, I mean it's also time for that. And therefore, this is something that where project work starts. Of course, we will negotiate them with the respective unions and workers' council, and we want them to start the implementation end of Q4. Return we definitely look at our -- now that the portfolio has been found. We also need to see that this portfolio which is strong in its nature, need to have fully the processes, the people and the energy to take the right market approach so that the strength of the portfolio is fully reflected. And of course, in a downturn. You have to prepare for the upturn. And if you do the work in the downturn, you come out strong in the upper. That's what we intend. Let's now come to the details on Page 6. As far as program forward is concerned. So ad hoc measures, we have in the region that has impacted North Europe, a clear hiring freeze: Strict cost control, CapEx control [indiscernible] significant reduction in variable compensation to the managerial grades when EBITDA is where it is. And as far as Management Board is concerned, when you want to start with structural measures, our view and my view is you lead by example. So then you should start with your own salaries, and it was anonymous decided by the management board that we cut our fixed salary by 25% and bonus-wise, on this level, there would be no bonus. We have here hard hurdles in place. On the ad hoc measures '23, we should come out with cost savings in the neighborhood of 50. CapEx will be down by 50, so cash-wise, optimized by hundreds. Structural measures should lead us to €150 million of savings. They would be predominantly achieved in corporate structures and also admin structures in the businesses. And as I stated already, we will prepare for them in course of this year should finish in Q4, and then we will see how much of the €100 million of OTC are going to be booked in Q4 for '24 and '25.  Energy-intensive plants are under review. We have a few other plants globally that are not significant, i.e., more complexity than big and complexity on small plants can be revised as well when you do this but in Germany, we look at energy-intensive plants, and to we reflect and explain to you today. Majority of savings will come from SG&A and €100 million I referenced. The split up when what will be achieved, you will have on this slide on the right end. Let's come to Germany. Here, we reviewed our plans reflect last year's 2 plans that are critical in nature as far as energy intensity is concerned, one of which is likely to be closed. We have not taken the final decision yet, but we'll do that in course of the next few months. The hexane oxidation plants is part of the business unit, Advanced Industrial Intermediates. The operation is extremely energy intensive. The plant is not competitive due to the high energy intensity and due to the lagging demand, it has hit twice. The CO2 footprint, which, in the future, is not going to get better financially, because CO2 certificates are price-wise rising, it's not falling. We consider these plants long term as not viable. The 61 good employees that will be impacted. That's hard. Because when you close a plant in Germany, it's closed for good. So these are tough decisions. Implementation latest by first quarter '26 because we still had some contractual obligations and should they end earlier, the plant would be closed earlier, should we go for such a decision. Second plant is chromium oxide. This falls in the area of inorganic pigments. Here, the process -- the production process is not that energy intensive, but the majority of chromoxide goes to construction and ceramics industry. Many of our customers are here in Europe. And as you can [Indiscernible] Oliver, your time will come. So as far as construction and ceramic customers are concerned, these are little customers, you will not see and hear bottom in the press, but the [indiscernible] and construction process is very, very energy intensive and they are collapsing right now. So here, the mom-and-pop shops are closing. And when your end customers and industries collapsing, there is no need for keeping your production live. And for that very reason, we see that this business might be sold to other players in the market that have a better set up as far as value chains are concerned. They produce the precursors, they produce the derivative products. And therefore, we are looking into a possible divestiture. But here, we will give this a certain period of time. If this doesn't work out, and it's too complex, we will most likely take the decision to close this plant as well. It is currently a significant underutilization and therefore, it's not a money printing machine. Also here, 52 employees will be impacted, should we take such a decision. Decision time is '23. Implementation one way or the other will follow '24. Now on Page 8, we come to the Enviro transaction. Books are a little bit distorted. This is accounting on the one hand and real life on the other hand. Real life is -- we got a significant amount of cash that was wired and is booked in the bank. And now on the technical implication, we've announced last year that the enterprise value of HPM is €2.5 billion. This continued operations shows around about €1 billion that was now moved to Envalior. And the net gain, I mean, this is extraordinary is round about €1.5 billion. So you see a huge net income that we report. But of course, let's face it, we will take net losses of Envalior for the next few years into our P&L because for good reason, the values taken their decisions on purchase price accounting, which is significant. So this will hurt our proportional or in value should be reduced. But then at a certain point in time, we said it that the agreed contractual terms, there might be a big capital gain that we would see at the time of the exits. But now clearly, the focus is on improving or improving the profitability through synergies and a better trading would also kick in at some point in time, and that will then move to a reduction in net losses at net income level of Envalior. I hope this was not too detailed, but I think that with this, I clarify all questions that came this morning to the Investor Relations team. Now ladies and gentlemen, let's take a look at Page 9, LANXESS Group. And the first I would like to say is 2 negative drivers. The demand is for [indiscernible], I mean Europe is soft. China is very concerning. I've never seen construction in my professional life as bad as it is right now. E&E, obviously, all of you have bought whatever mobile devices your children and you need during the pandemic time. But we also see that E&E despite product innovations is hard hit. So demand across the regions is tough, especially China, especially Europe. U.S. still holds up reasonably well, not great, but we don't see here the same demand disaster as we see in Europe and China. So next to demand. Of course, we reduced our working capital and have advanced nicely not only in Q1, but also in Q2. And of course, this hits utilization and impacts profitability as well. Page 10, we show you the segments. Intermediates hard hits additives, which still did well or reasonably well in Q1, hard hits. That for us was also a surprise and led to the profit warning in June because construction fell like a knife after April onwards. And it's not back yet. So we saw a sudden shock in demand in construction, and this across the regions. And of course, with this prices are under pressure as well. Consumer protection holds up reasonably well, and this should be the case with the portfolio transformation we've done. But now we see also, and this was coming through in April, May as well that AgroSoftens. So here is some alerts for the segment going forward. Let's come on Page 11 to net working capital. So you see where we stood end of the year, 22 million we started here to clearly sweat inventories out and be more aggressive on receivables collection. That works out well. And therefore, we are coming closer and closer to our announced number that I gave you with Q1 numbers of 23 to sales. If we would go there, we have basically sweated out 4% of working capital to sales, which is tough work. And of course, this is something that we still keep following as we go forward into 2014. Ladies and gentlemen, with this, I would like to finish with the guidance, which is now at €665 million. We don't expect a recovery in the second half. We still have, unfortunately, on chlorine supply and earning and force majeure, and we basically don't see that this is improving at least as far as volumes. We are getting until November this year. Based on the above, our guidance as stated 650. We should have a lower cost base in the second half. Focus clearly, as indicated on cash generation and CapEx new guidance is €350 million. So ladies and gentlemen, with this, I would like to turn the page and open the call for your questions. Please go ahead.
Operator: [Operator Instructions] Our first question comes from Christian Faitz from [indiscernible]
Unidentified Analyst: Yes. Good afternoon. Christie sitting in for Martin. Good afternoon, EarMathias, Michael, and obviously, Oliver, who is in the room trading from his build coffee. Two questions, if I may. As you are reviewing the energy-intensive plants in Germany as part of your forward program, can you please elucidate how energy costs have actually evolved to date, obviously, versus the cost shocks of last year? And then Matthias, you just mentioned the agriculture business. So Altico. -- can you give us an indication how much volumes were down in Q2 year-on-year as some of your key customers were plugged by rather used channel inventories? And would you see this coming back in the second half going into '24. 
Matthias Zachert : Well, on energy, of course, energy costs are coming down, but they are still alleviated versus competitors. So here, we see, if we go to [indiscernible], this is a plant that has world scale. This is a plant that used to be competitive in the past, but it's now competing in a situation where others are more energy competitive than we are. And on top of that, if you look at the [indiscernible] oxidation process, raw materials are -- if they come from Europe higher than the raw materials you have in Asia. And for that very reason, these 2 drivers, part with the fact that this CO2-intensive plant, I mean, they are around about 144, 120, 144 kilotonnes roundabout depending on the capacity being produced.  And in light of the fact that CO2 prices are not falling, but our assumption internally is they will rise. We have decided that this is a reason to close. But here, again, we do the final a decision has not been taken. But I clearly flagged that to everybody today internally, externally, so that everybody is aware that this plant is at risk.  Now on Zo Tigo, clearly we hear the signs of our customers. I would say currently in the -- when we look into the demands pattern of our customers, and here we talk about the big five, we see that in the crop protection area, so in the fungicides, the commodities are impacted. The specialty so far hold up reasonably well. Tigo is very much focusing on specialties. And as a matter of fact, Tigo does not have commodities because there's custom synthesis, but advanced industrial intermediates, we still have some intermediates for the commodity products. And therefore, here we see clearly the volume hits. And of course, we take notice that the tonality of the five agro players turn softer and we take that into consideration. That's the reason why we flag that. 
Operator: Next question comes from Konstantin Wiechert from Baader-Helvea.
Konstantin Wiechert: Maybe when I made another question on the Hexane oxidation plant. I was wondering if you could maybe give some indication how much revenue this was generating in the last 1 month, also maybe the EBITDA, which it had generated last year, I guess it's not generating anything by now, but maybe last year. And if I may, one further question. I think currently, there's still a lot the idea that destocking also in the more specialized sectors is about to end at the end of the second quarter and that, therefore, volume should slightly improve in the second half. You are now very conservative on the second half. Is this also including basically exactly the same levels? Or are you just saying that the underlying is not improving, but the destocking is ending and therefore, you should see some improvement in the second half.
Matthias Zachert: Yes, Konstantin. Let me address them one by one. [indiscernible] oxidation it's close to €100 million sales, and there is no EBITDA. And in current clients, there is even less EBITDA than nothing. More we don't say on the financials. I think this is privileged information to go further in details. So you see the business is hearted. Destocking to an end, I mean, I talk to my peers. I reaped some transcripts on what PSA I haven't heard broadly that destocking is over. I have not heard that, but you are potentially speaking to more countries -- companies. We don't see that demand in Q3 is picking up. July was as bad as April, and April was not a good month. It was the worst month in the second quarter potentially.  We saw a slight uptick in June, but again, a drop in July. So we don't see that destocking comes to an end. And I personally don't think that destocking will come to an end until August is over. I think everybody is still deploying the inventories and look at us, we are also not sourcing. I mean we are sweating out our inventories, and we are selling our finished goods. We are now down 3 percentage points, working capital to sales, and we still want to sweat it out. And it takes longer because market demand is so weak. So it's a combination of both. With this, I think all of your questions have been answered.
Konstantin Wiechert : For example, referring to a slight improvement in chlorine production levels that we've seen in Europe lately.
Matthias Zachert: Well, in chlorine, we have a force majeure. And for the...
Konstantin Wiechert : I was taking this as a cross-read for improving production level.
Matthias Zachert: Well, after November, we get more chlorine, we will most likely in this specific area, produce more.
Operator: And our next question comes from Jonathan Chung from Morgan Stanley.
Jonathan Chung: I have two, please. Just on the order book, you mentioned there's a drop in demand and drop in volume in July. Could you give us a little bit more color into your sort of across segments and regions, what do you see in terms of end market trends? And then secondly, on your debt profile. So if I look at your slide, you mentioned there are still €2.8 billion of debt on the balance sheet and refinancing what no maturity until 2025. When that -- when 2025 comes and you have to refinance them at a higher interest cost, are you worried that you will burden a higher interest cost? And what are you going to do to reduce your debt balances by 2025?
Matthias Zachert: Yes. Well, don't get me wrong on July. I said that we don't see business improvement in July. We see that July is at levels what we've seen in Q2, but there's no further deterioration. But I was answering a question before you. If now in the third quarter, we see a rebound in volumes. And the answer to this is no. We don't see that. But we don't see that now we further deteriorate. This is also not the case. So please take the message very clearly one-to-one to what I said. Now in 2025, you talk about our net debt. We are not going to refinance our entire net debt position in 2025. This is not the case. We have one maturity outstanding, one bond, which is priced at €1.1 billion. And should we go out today to refinance our current price indication would be around 4.5 percentage points. On €500 million, I think the delta of 3 percentage points is easy to be calculated. And that's basically it, therefore, the first maturity that comes up in the market is in 2 years' time. And we currently have liquidity, which is undrawn and untapped of around about €2 billion and without covenants. So therefore, I think we should focus here on the fact that this company is full of liquidity, and that's because we've early on our -- all of our refinancing. And the last refinancing we did 2 weeks immediately after the Russian aggression war broke out, and we tapped the markets and secured €2 billion because our assumption was this will be a liquidity priority if Europe is in a war. And I think we have shown in crisis times that liquidity should always be ample. And this is the case. I hope this answers your questions.
Operator: The next question comes from Rikin Patel from BNP.
Rikin Patel: Just one on the outlook. So you mentioned July wasn't much better than the exit rate from Q2. I suppose taking down into consideration with seasonality is it safe to assume that Q3 earnings will be quite similar to Q2?  And then just on a different topic, on the standard partnership or JV, can you give any update on the timing there and when we might hear a final decision? And I suppose is -- I mean, now that you're putting more -- even more emphasis on capital discipline, does that mean that you may look at an agreement on taking the lithium at a discount rather than, entering intoan economic relationship in that JV? Thank you.
Matthias Zachert: Yes. Well, we can -- as far asQ3 is concerned, we don't assume that Q3 would bea strong quarter. We basically consider that Q3 will be slightly better than Q2. And that might be driven by lower cost base and also the fact that we will most likely not as hard go for inventory reduction as we did in Q1 and Q2. But the likelihood is higher than Q4 will see then a stronger improvement.  As far as [Indiscernible] was concerned, we haven't not yet received the data. or European chemical companies. We are talking about the company with, I assume, 40, 50 people. And therefore, it's, I think, not surprising that a company of the size doing for the first time, a full-fledged engineering analysis is having hard work to get it simply finalized. We know that they are in their last innings. And so therefore, we wait for the data, and then we will take a decision at the CapEx decision on our end is very unlikely. I've communicated a few months ago.
Operator: And we're taking our next question. The next question comes from Chetan Udeshi from JPMorgan.
Chetan Udeshi: My first question was just for a follow-up on the previous question, but here you said Q3 will not be -- Q3 will not be much better than Q2. And that means you probably need like really strong step up in Q4, like you said Q4, is it the cost savings? Is it the expectations of improvement in demand? And just related to that question, you mentioned your utilization in second quarter was I think it should be a pretty sizable number. The second question or a different question was more structural in nature, which is in your AI business, and I think the -- 1 of the 2 plants that you are putting at risk is probably one of those 2 is in the AI business. But just generally speaking, your AI footprint is very much European footprint, and you are supplying these chemical companies in Europe. And I'm just curious, do you sense a possibility that some of these -- or at least a few of these customers might shut down their own production in Europe? And does that have an implication on the AI business itself? For instance, if I'm not mistaken, you supply some cresols for vitamin production and Aroma production. And clearly, we've seen a very, very tough environment in that market. So is that something like a second derivative sort of risk that we should be aware about for AI business as a whole?
Matthias Zachert : Yes, let's address again Q3, Q4. I've not stated that Q3 will be exactly where Q2 is there are various parameters that influence the P&L. This is utilization. This is how much do you drive inventories down. This is energy pricing. This is no, well, I repeat the answer. So I've stated again, Q3, Q4, we don't make now guidance for number wise on the quarters. But on the quarter Q3 will be several cost items that would be a benefit. We will definitely sweat out less inventories compared to Q2, especially. There will be lower costs also on energy and transportation. They gradually fade downwards. But the open end on Q3 is the demand side where stabilized will be stocking come to an Envalior.  In second quarter, we got -- when we heard listen to our customers, many said they will come back in Q3. But then in end of April, May and June, they started to for Q3. Their current indication is they will come back in Q4, but we've not taken that largely into consideration.  On your second question with the utilization, yes, this 60% of 58 hurt dramatically. This is in the high double digits millions. It's not a 2030. It's clearly above €50 billion on a quarterly side. So when volumes return, we should rebound strongly. Then to your third question, the 2 plants that we might close or divest are in Advanced Intermediates. Hexane oxidation is an advanced industrial intermediates, crookie and Pigments. Now we are not selling only in intermediates to Europe. This statement is not right. We have a strong exposure to the Western Hemisphere, Europe and United States. We even have plants in Advanced Industrial Intermediates in the United States.  So our business is not solely in Europe. And there are businesses that are currently impacted, like you mentioned synthetic menthol. This business has been on the rise for decades with strong growth of rates. There are only 2 players in the markets, and we don't hear from our customers that they will question mark their biggest plants, which are domiciled here in Europe because also they are biggest markets here in Europe. But of course, we look at the entire value chain and we'll keep our eyes open. What is structurally questioned, we will analyze. Currently, our structural assessment letter affects that out of the plants that we have here in Germany 53. The two will come to a decision point this year.
Operator: The next question comes from Matthew Yates from Bank of America.
Matthew Yates : I'd like to ask a bit around the forward plan and the intention of deleveraging and the different measures you've outlined today to get there. The 2 plants specifically that you've highlighted by the sounds of it aren't significantly profitable. So is the expectation that you will receive any material proceeds for those assets? Or is that more around just portfolio pruning? And if not, are you looking at any other potential asset disposals? And then I was wondering, can you help me put into context the situation, the balance sheet and the leverage today versus 2014 when you did raise equity to help fund the restructuring measures of the group? How do you see the situation of the company being different today versus what it was in 2014? Thank you.
Matthias Zachert: Yes, let me address one by one. The 2 plants. This is not a measure that we do in order to generate tons of cash. We will look what we would do. The one plant, we will not consider for sale. What we are considering and finalizing is closure that will rather be a small cash out than a cash in. The other plants, we will assess if we will divest them. That means you run a process, and this has to be a clear straight simple process. And we think here that there are buyers in the markets. But if these buyers make a big complex project out of that, then we will not go for it and then we will exit. I think that straightens out your first question.  We still have not big businesses in our balance sheet or in our company that we have flagged for potential exits, and we know that here the strategic players are highly interested, and they flagged that also in recent months. So should we need some cash injection, this is what we would do next year. We don't think that we are in need for cash injection. But should we do something, then this will happen. On the balance sheet, I mean, 2014 was a different situation. We had a hugely volatile business. And we had a hugely volatile business in an environment that was not that bad. 2014 was not 2020. 2014 was not what we see 2022. We are currently in a demand shock and as I've referenced. After [indiscernible] markets came back, they collapsed, but they came back after 4, 5 months.  We've saw -- we've seen that corona led to a volume shop, which led to a demand decline of around 4 to 5 months. What we now see is a demand shock that started in November last year.  So we are now in the ninth month. In my professional career in chemicals, I've not seen this situation. And it's not happening only in Germany. It's happening in Europe. I mean, you've seen that companies in U.K. or in the Netherlands that are in very stable business have profit warnings. We see that Animal Nutrition that was growing for the last decade is down for the first time. So currently, if I look into your question, 2014, we had a very volatile portfolio in a market that was okay. Now we have a portfolio that should be far more resilient that has shown that the breakevens to make EBITDA is even below 60%. So the structure that we have is better.  Now we need to look at the balance sheet. The profitability will come back. Is it ‘24, is it ‘25? Who knows, but profitability will come back to different levels. And for this time of the next -- for the next 1 to 2 years, we have ample of liquidity. So we are, from a balance sheet perspective and portfolio perspective in a completely different situation than compared to 2014. Should for whatever reason, I really need cash I have an asset that I would put into the shopping hall. And I know that cash injection for this one will be very, very strong and it will be a fast process because it is wanted by players in the United States, but players in Europe and by players in Asia. And here, we will do it should the need for this arise. I hope that clarifies your question.
Operator: And the next question comes from Andreas Heine from Stifel.
Andreas Heine: Two questions, if I may. The first is on the review of the size of mainly these 53 plants in Germany. I'd like to understand what is this approach. So the energy intensity is obviously in the most upstream part, the highest? Is it possible that you close plants, which are upstream and that you buy in raw materials from other destinations and how complex it is really to cut plans of these integrated business you have? Because I would think that if there is something challenging it's the old, let's say, legacy buyer business, which is in referring liver. That's the first question.  And the second, I'd like to understand more in the specialty additives, looking on demand trends and the wording was in describing the 3 units in there. And I would expect that lubricants and even rubber chemicals volume buys were pretty stable given the environment behind and that most of the decline in volume was in the additives business. And that potentially also on the price side. Could you elaborate a little bit more on this one, these polymer additives? One of your peers was also very much affected here. But I think that's really only a very short period of shock we see here compared to the very high level you had last year.
Matthias Zachert: Well, Andreas, two valid question. Let me address the first one. I mean Hexane oxidation is a plant that has only on synthesis step and then it goes the next value chain. So here, this synthesis step which leads to hexaneoxidation, you can call it Karl as well. That value step is in competition internationally. And internationally, it's competing with lower energy prices, lower raw material input costs. And of course, in Europe with CO2 costs impacting the business as well. And for that very reason, we don't need this value steps. Should we need hexaneoxidation, we might also buy it ourselves as input costs in the global markets. And for that very reason, we've taken not yet the decision, but we are clearly about to take a decision here to take it out. So that should answer your first one. I clearly would like to say that our entire Advanced Industrial Intermediates business is structurally strong because we do a variety of synthesis steps in this organization. So we clearly think that this business will come back. There might be still other plants and value chains where we have to trim capacities where we have to tighten the belt, but the core of Advanced Industrial Intermediates and TI especially referred to the aromatics is internationally a strong player. The business will come back. I'm pretty sure about that. Now on Specialty Additives, you clearly flag. I mean, PLA, our Polymer Additives business performed very strong last year. If you look now at the peer of us, that is that is reporting as well, and that has also a flame retardant segment. I hope that everybody knows who it is. They also issued a profit warning and clearly referencing that the construction is brutally down and prices have collapsed because there is no market anymore. We see that bromine has been on the rise for the last years due to tightness. The construction market in China is down. Nobody buys no flame retardants. Therefore, if nobody buys flame retardants, nobody needs [brominated] flame returns. And for that very reason, also the bromine price suddenly in China collapse from 6, 7, 8 to 2, 1.8. That shows you that there is no demand at this point in time. The only positive is in Q3, the price or end of Q2, the prices have stabilized and are now very, very, very tiny wise going up again. And therefore, the business will rebound, but it needs, at the end of the day, demands, especially from construction industry and especially from the electronics industry. I hope that gave you enough bone -- no, no, beef to the bone.
Operator: We are now going over to the next question. And the next question comes from [indiscernible] from Deutsche Bank.
Unidentified Analyst: I was wondering if you could possibly talk about the trajectory of improvement when volumes do come back. And to that end, are you able to elaborate on cost structure and specifically fixed costs and how we could see that coming back. That's the first question. And second is on the detail of the underlying performance of the JV, and I understand you can't necessarily give all the details here. But I was wondering if you could elaborate a bit on the impact from the interest and from PPA and whether it's making a profit on an EBITDA level.
Matthias Zachert: Thank you, Tristan. On the joint venture, I mean, we are clearly bound here to contract, and we will report what we can report. At full year, we will have to report legally more and we'll do that. But on a quarterly basis, we are restricted to what we can say. And I can say that the underlying business, everybody is suffering. So here, the underlying business is not great. PPA is in the hundreds of millions. Interest, of course, are also in the hundreds of millions. That drives the net income loss that we have. Of course, PPA is completely cash neutral. -- whatever we report in equity is not impacting us cash-wise. And that's what I clearly stressed. And with this, I'll leave it on the joint venture. On the volume side yes. I mean, we like to have more volumes. There's no doubt about that. We currently operate with the volume levels that we have. I think volumes currently are depressed for various reasons that you know destocking, softer demand, China problem. And therefore, we have currently a multilayer demand shock that leads to the current situation. I cannot tell you when volumes will come back. If volumes rebound, definitely, we will be, I think, or proportionately in a situation to benefit because the cost structures that we currently address is not addressing us structurally in the production or sales sites. We are not reducing shifts, we might close to plants that are anyhow not profitable, but we will not adjust our structural capacity. If volumes come back, we would rebound strongly. The cost that we want to structurally optimize next year is clearly focusing SG&A, SG&A and corporate and SG&A in the business, meaning back office works, et cetera, et cetera. But we will not reduce our capacity position with the 2 exceptions, extent oxidation chrome oxides, which are still in the decision process. I hope that clarifies your 2 questions.
Operator: This question comes from Oliver Schwarz from Warburg Research.
Oliver Schwarz: Firstly, I'd like to delve a bit into the CapEx of the forward program seems to be limited to €50 million less CapExspend in 2023. Can you please elaborate a bit what kind of saving that is? Is that delays in projects is that scrapping of planned projects. How should we think about CapEx progression in the period of ‘24 and ‘25 please, that would be my question. And secondly, as Mr. [indiscernible], referred to the product chain of the hexane oxidation also SK oil. So I guess we're talking about cyclohexanone production here. Is that product substituted by production by lanes regionally somewhere else, perhaps in Asia or in the U.S.? Or is that product completely substitute -- to be substituted when required and other value chains by basically sourcing it from other producers in Europe or somewhere else globally. So basically, is there, let's say, a substitution possible by other production plants in the LANXESS Group? Or is that to be substituted if required by other producers. That would be my two questions. Thank you.
Matthias Zachert: Thank you for your participation and questions. On the €50 million, that was your first question that we will address this year. it's basically a combination of categories. So projects that were about to start, they are being delayed projects that we are doing on a normal basis, i.e., maintenance that we wanted to do on certain plants that are well maintained, but year when plants are not that profitable. Of course, the amount of maintenance can also be adjusted that can be done for 1, 2 years, but should not be done longer than that. I mean, we have our plants at good maintenance level. We are not running it like private equities. So you've never heard that whenever businesses were acquired from us that they had to report CapEx spend upgrades. So therefore, that is €50 million that were not hurt. And of course, we make sure that all legal and operational standards are safeguarded. I think we, as a company, stand for that. Now ‘24, ‘25, too early to tell. I mean, our run rate in CapEx reflects last year is at €400 million. The €400 million, we will adjust upward downwards depending on economic times. But the underlying run rate of €400 million is one we've guided for, which includes roundabout close to €300 million on pure maintenance and the rest is for growth. In the current environment with 60% utilization, we don't need growth. We need to have maintenance. But before you grow, you basically load your capacities first. So I think that is clearly something on its 2 states, we need volumes. We don't need capacities for more profitability and cash generation. Now the Hexane oxidation, I mean, this is a precursor, which is really early in the value chain. It's 1 of the products that truly in our company is very early in the value chain. It's not downstream, it's more upstream. And upstream products you can globally source. And here, I mean, we've stated that we will close these plants latest March '26 should the decision be taken because by then, we have some running sales contracts, but this gives us enough time to talk to the global producers of hexane oxidation and to get good long-term contracts in place, which are more competitive than producing it ourselves. So the sourcing will be done outdoor outside of the company.
Operator: This question is from Jaideep Pandya from On Field Research.
Jaideep Pandya: First of all, wishing Michael, good luck and Oliver big congratulations. My first question is on the inventory cycle. Could you give us some color about what has led to a massive buildup of inventories? Is this really finished goods related? Or is this raw material related and the first half that you sacrificed utilization, taking €100 million hit, how much of finished goods inventory have you really cleared? And what will be the utilization in second half versus the first half assuming no real pickup in demand? That's my first question. And the second question is really on additives. There's been a huge drop in margin year-on-year. Now I understand that aviation is doing well. So what has really caused this drop? And when will we see margins coming back? Is it really volume related? Or are you taking actions to solve it? And then my last question is really on Advanced Intermediates. Are you basically price versus raw materials neutral here. And therefore, again, this is a volume issue where margins go from the mid-single digit towards the 15%, 16% that we were used to seeing a few quarters ago.
Matthias Zachert: Let me address one by one. On the inventory side, it's definitely a majority is finished goods. And of course, we had stocks in raw materials, but give and take, I would say this is 80 20. We stocked up in both for safety cushions after value chains were disrupted. I think many companies did that. We did this as well. We have more business that travels. I mean the flame retardants, brominated they are produced in El Dorado globally, and I could explain further. So we -- when you want to make sure that you deliver to the customers in disruptive value chain times like last year, you have to be prepared for having volumes. But of course, we have been -- the second big driver on volumes that was the introduction of our ERP system that was screw up last year. We talked about that. So that led to higher volumes as well. And the third effect, of course, was pricing. Now we started the year with higher volumes definitely and -- or higher net working capital. And we clearly said we will sweat that down. And we are doing this while the market is extremely soft. So this is really the hard right that we take, and we have reduced 3 percentage points to sales, which is a lot. In the second half, this will soften out a little bit because we stated that we had 23.8%, and now we want to go down to 23%. So the big chunk has been digested. -- where utilization will be now in the second half, I would say that depends also on demand. But if less -- if demand stabilizes or picks up and we will sweat out less inventories, then utilization should move up as well, benefiting the P&L. On additives, you're right. Look at see clearly more momentum on aviation, undoubtedly. And as far as the second business is concerned in Polymer Additives was always a strong contributor and that contributed more and more every year after we acquired and combined it with our flame retardants business. If you look into last year, this was the best year of PLA polymer additives ever. if you look into the segments, we reported more than €400 million EBITDA. So we referenced that this was a strong year with clear outperformance to normal trading levels. But now the markets are collapsing. E&E, that was on the rise for the last several years is down. Construction is collapsing.  This is overdone because we know that, especially in Europe, we have the need for construction, but the sentiment right now is extremely negative. This has to do with interest rates. People are looking at the interest rates and want the base stabilize or go down. This looks -- this has to do with sentiment. This has to do with China market being down and the reasons for that are listed in all of your reports. So here, we have a sudden shock in construction, which, of course, is a big demand. first soft measures on trying to stabilize. But of course, they are far back from the momentum that they have. And as far as Europe is concerned, I think it will take some time until the construction will stabilize. This will be a gradual improvement and not a strong rebound for might take because interests are yet to stabilize and most likely will only start to gradually decrease from next year onwards. Advanced Industrial Intermediates.
Unidentified Company Representative: Price versus raw.
Matthias Zachert: Yes. I think here, it is, volumes. I mean the business needs volumes. We've been here last year, recovering everything energy, raw materials, logistics in this business. So the business was rolling over the input cost inflation, but now we need volumes. I mean this business serves 32 different end industries. And we currently see that the majority of the industrial production is down. This business eventually is not like consumer protection. This business needs volumes. It has a strong market position, but they need volumes. With this all your questions hopefully are answered. 
Jaideep Pandya : If I can just ask one follow-up. I'm sorry, I'll join the call late. On the JV, could you give us some color on where is the EBITDA right now? And is there any need for further special measures on the restructuring side from the combined forces to improve profitability? 
Matthias Zachert : Yes. Well, the business is a strong business. It's now becoming a global leader in polyamide. So they have a fantastic market position. They have a fantastic original reach complementarity. This is a business where reported in the past, margins around 20%, reported margins around 15%. The considered a solid business going forward. There are, from what I to market rumors, strong fixed income investors that believe in this business. Because -- also because this business incrementally will have substantial synergies. And therefore, going forward, I think the business will perform strongly that they are currently also in a trough market environment, I think, is not coming as a surprise because all polymer companies worldwide are also talking about the contraction in market demand. So this is as far as values concerns. And your last question was on EBITDA in -- that was the only question No, I think I've answered everything.
Operator: So we're taking ready a lot of your time. So we're having a last question from Andreas at Berenberg.
Unidentified Company Representative: Just for a moment, where I'm bringing Mr. Andrés Castanos to the stage. One second, please. And now we have Mr. Andres cast. Please go ahead, sir. 
Andrés Castanos-Mollor: Just one clarification please. On the slide, you present €100 million one-off hit but then the cash flows happen in '24 and '25. I just want to understand this well and not double count. If the customers correspond to the one-off hit provision maybe. And then secondly, I want to understand following up on the possibility of a capital increase. Given you have ample liquidity, fixed interest no covenants. You don't need to raise debt. How strategic is to retain your investment-grade rate.
Matthias Zachert : Well, Michael will answer the OTCs. I would take up the capital. Michael?
Michael Pontzen : Andres, you are right. I mean, that is how it works. We will book the expenses in course of Q4 this year, and then the respective cash outs will be in course of the following quarter, whether they will be fully in '24 or partly in '25, that is still to be seen, but the expenses are largely booked in the fourth quarter. Matthias?
Matthias Zachert: Yes. And I will take the capital because at the end of the day, this is also a strategic decision. We are not in the in the BBB area, we are -- it's BBB flat with negative watch or in Moody's language, it BAA2 with negative watch. They give us time, and they've seen that we take respective measures on the cost side, which is seen as a positive. They know that we have backup plans on cash as far as divestitures are concerned. And therefore, they clearly know our track record over the last 10 years. We managed [Leman] crisis, we managed pandemic in a way that we were fully stable in the investment grade, and therefore, capital raise is currently and will not be on our agenda for the next month because we don't see any necessity for considering it. I hope this makes it crystal clear. or next month. To be very clear, it's not on our agenda. Period.
Operator: At this moment in time, we have no further questions in the call. With that, I would like to hand the call back to Mr. Zachert for the closing remarks.
Matthias Zachert: Well, thank you very much, dear operator. And I would like to finish the call with a organizational change and change in the management board. Michael approached me last year, and he basically said, hey, Matthias, I've been a member of the Board for years now. We've done so many things. I would like to do something new. And is there any possibility in this company to get an assignment abroad? And we looked into this, we discussed opportunities. But I mean if you are on the management board, finding worldwide, different bots member positions are not easy. And as we then decided to nominate [indiscernible] as female, moving to the United States, that's not closed for [Michael]. And for that reason he was looking outside and now found an opportunity where this young gentleman can strengthen his language skills and international activities. And so therefore, we made this announcement this morning. I think, Michael, for this contribution, we did many things and Oliver was always part of that. I think, Michael, for friendship, good chat in Germany would say, [Foreign Language]. So we had a good time. And now it's time for Oliver to energize cash flow, finance and the company, the management Board. Of course, we know each other. I admire your energy, I admire your business acumen and I admire the way you are. So I wish you good luck from first of September. The good thing is we have plenty of strong candidates here in the company so that we can go internally and know that we will have the same level or even better going forward. And therefore, I'm proud that we have developed people that can take up this challenge. And therefore, I wish Michael all the best. And I wish you, dear Oliver, all the best and a lot of fun because we have a lot of plans going forward. So thank you, both of you and both of you good luck and thank all of you for your time today and looking forward to seeing you on the roads in the near future. Thank you, and bye-bye from Colon. 
Operator: Ladies and gentlemen, this concludes the LANXESS conference call. Thank you for joining and have a pleasant day. Goodbye.